Operator: Good day, everyone and welcome to the Information Services Group First Quarter 2016 Financial Results Conference Call. Today's conference is being recorded and a replay will be available on ISG's website within 24 hours. At this time, for opening remarks and introductions, I'd like to turn the conference over to Mr. Barry Holt. Please go ahead, sir.
Barry Holt: Thank you, operator. Hello and good morning. My name is Barry Holt. I'm a Senior Communications Executive at ISG. I'd like to welcome everyone to ISG's 2016 first quarter conference call. I'm joined today by Michael Connors, Chairman and Chief Executive Officer; and David Berger, Executive Vice President and Chief Financial Officer. Before we begin, I'd like to read a forward-looking statement. It is important to note that this communication may contain forward-looking statements which represent the current expectations and beliefs of the management of ISG concerning future events and their potential effects. These statements are not guarantees of future results and are subject to certain risks and uncertainties that could cause actual results to differ materially from those anticipated. For a more detailed listing of the risks and other factors that could affect future results, please refer to the forward-looking statement contained in our Form 8-K that was furnished this morning to the SEC and the Risk Factors section in ISG's Form 10-K covering full-year results. You should also read ISG's Annual Report on Form 10-K for the fiscal year ending December 31, 2015 and any other relevant documents, including any amendments or supplements to these documents filed with the SEC. You'll be able to obtain free copies of any of ISG's SEC filings on either ISG's website at www.isg-1.com or the SEC's website at www.sec.gov. ISG undertakes no obligation to update or revise any forward-looking statement to reflect subsequent events or circumstances. During this call, we will discuss certain non-GAAP financial measures which ISG's believes improves the comparability of the company's financial results between periods and provides for greater transparency of key measures used to evaluate the company's performance. The non-GAAP measures which we will touch on today include adjusted EBITDA, adjusted net earnings and the presentation of selected financial data on a constant currency basis. Non-GAAP measures are provided as additional information and should not be considered in isolation or as a substitute for financial results prepared in accordance with GAAP. For the reconciliation of all non-GAAP measures presented to the most closely applicable GAAP measure, please refer to our current report on Form 8-K which was filed this morning with the SEC. And now, I'd like to turn the call over to Michael Connors, who will be followed by David Berger. Mike?
Michael Connors: Thank you, Barry, and good morning, everyone. Today, David and I will review our first quarter results. We will brief you on our some key operating highlights, update you on our most recent Bolton acquisition, discuss our shareholder initiatives and will wrap up by sharing our new higher revenue guidance for the year. Let me begin by saying our first quarter results, our strengthening pipeline and our investments in the business we believe had position us to deliver on our financial objectives for the full year. First quarter 2016 revenues were essentially flat with the prior year with double digit constant currency revenue growth in Asia-Pacific and solid growth in Europe offsetting a decline in the Americas. As we continue to innovate, create alliances and expand our capabilities to help our clients go digital, I’m confident we’re making the right moves to serve this expanding market and revise our growth potential. During Q1 we remained focus on building out our digital advisory services business. Highlights include publishing our third ISG Cloud Comparison index, with Charles Enterprises on your stand IT costs across various delivery models including Cloud, Outsourcing and on premises. And the accelerating the growth of our digital pipeline, winning more than 15 major clients during the quarter and adding more than $5 million of new sales in Q1. The wins include such companies as Western Union where we were engaged to develop an enterprise agility strategy for their digital business unit. BMW where we are a key partner and a strategy for their [indiscernible] car technology, and Monsanto where we developed a cloud strategy and a cloud contract for their data center as well as working on an enterprise agility strategy. Our recent successes helping these major companies are product of our core expertise in digital technology. We continue to expand these capabilities across our organization, in particular by training more of our people in digital sales and deliver. The rapid pace of technology change in digital business transformation is clearly new expanding opportunities for ISG. We believe our continued push in the digital, the yield continuing strong results. Our EBITDA for the quarter of $3.3 million compared with $4.6 million in the prior year. Our EBITDA for the quarter was impacted by a few unusual items, first, based on our increasing global pipelining and emerging new revenue opportunities, we made the decision to add more than 40 positions during the quarter. This is the most headcount we’ve had in our first quarter in five years, although a break from our normal pattern of not hiring ahead of revenues. During the first quarter we decided to invest in among other areas, the expansion of ISG subscription research. The further expansion of our digital advisory services and higher education businesses and the launch of ISG events which in addition to producing a new revenue stream over time will help faster, greater engagement with our clients and prospects. We believe these investments will deliver growth over the next two years. Second, we initiated a successful Dutch auction in Q1, on which I will comment shortly. As a result, we incurred $400,000 of onetime deal cost in the quarter. We see this as a good investment as it reduce for shares outstanding by 6%. Without these investments, and our onetime Dutch cost, we would have delivered $0.06 of earnings per share on the quarter versus the $0.04. Now turning to our regions, revenue in the Americas continues to build with 4% sequential revenue growth in Q1. Even with the soft year-over-year comparison in the first quarter, we expect solid growth on a full year basis from the Americas. We saw especially good growth during the quarter on our banking, financial services, insurance and manufacturing verticals, key client engagements the quarter included Monsanto, CNA Financial, Scotia Bank, Insurance Broker Hub International, Toyota and Wax. In the public sector area, that I just mentioned we invested in our higher education business, and that investment has already paid off in a new $1 million plus contract just awarded at the University of Arkansas Education System. In addition, we signed a one year contract with three one year extensions with the State of West Virginia to assist them with IT advisory work. This new contract should begin by June, and we expect the work will be worth nearly $12 million over the four year period. Also in the Americas during the quarter, we won three significant new healthcare engagements which we are not embarking on. Reinforcing the breath of services and offerings ISG can bring to this sector. They include Adnan which selected ISG for it’s expanding mergers and acquisitions capabilities to help with Adnan’s merger with Humana, a major blue cross and blue shield state provider which selected ISG to help them benchmark their cost base and advise them on contract management. And another healthcare market leader which selected ISG for a transaction engagement for their clinical trials business. Turning now to Europe, our revenues in the region grew by 7% in the first quarter. We saw solid growth in Germany and in Nordics particularly in our energy, life sciences and healthcare verticals. Key client engagements in Europe during the quarter included BASF, Vattenfall which is a Swedish power company, German healthcare provider for [indiscernible], Zurich Nordea Bank, Novartis and Swisscom. An example of how digitalization is reshaping our clients environments in Europe, we recently won a new business with the ZF Group, a German Automotive Parts Manufacturer to evaluate how new technology such as automatous driving, automotive IT and the internet of things is impacting their specific market. We will also be working with them to demonstrate the impact in emerging IT technologies, cloud, FDDC which is software defined data center and mobility to help and respond faster to new market demands and drive higher IT values. Their potential synergy opportunities from a recent large acquisition with TRW was a key factor in the ZF Group selecting ISG as their IT advisory partner. Finally we are pleased with the continued growth in our Asia-Pacific region. Our revenues there were up double digits in the first quarter, driving by banking, insurance and energy verticals. Key clients in the region included West Pac Banking, National Australia Bank, AusNet Services which is an Australian energy company, the University of New South Wales and the Department of Immigration and Border Protection. Now let’s turn to our latest acquisition which we announced this morning. TracePoint Consulting is an industry leading organizational change management firm, also referred to as OCM in the industry, based on Atlanta, Georgia. TracePoint helps clients such as under armor, discount tire and others, successfully managed the changes associated with digital transformations, system implementations with such providers as SAP and Infor, mergers and acquisitions and other large scale business change initiatives. Demand for OCM is increasing in the age of digital business, as organizations pivot towards fast and other solutions. With the addition of TracePoint, we believe we will be a leader in the OCM space. TracePoint founder and CEO, Randy Geoghagan and his team of more than 25 professionals had joined ISG and will lead our OCM efforts. TracePoint is projected at approximately $3 million of revenue this year and in the range of $6 million plus next year. Investing in acquisitions and other growth initiatives is just one of the ways we use our capital to deliver attractive returns to our shareholders. In April we completed our Dutch auction, in which we repurchased 2.3 million shares or 6% of our shares outstanding. We believe the tender offer was a prudent use of our financial resources given our business profile, assets and the market price for our shares. The tender offer reflected our confidence and our future outlook and long-term value. And we’re pleased to announce today that we repay $3.2 million of our convertible loan notes outstanding at PAR. This will reduce our fully diluted shares outstanding by an additional 800,000 shares. So with these two actions, we’ve reduced our total fully diluted shares outstanding by 3.1 million shares or 8%. We believe these shares hold their friendly moves in conjunction with continued appropriate investment in our business, creates long-term value for our shareholders. Now turning to our guidance for the full year, we are confident both in near term and long term future of ISG. We have good momentum in the market place, a growing sales pipeline in each of our regions, investments in new and expanded products and services that promised to deliver additional growth. And a new acquisition TracePoint that we believe will help us win additional digital advisory business. In light of these positive developments, we are raising our revenue growth guidance to range it between 7% and 9%. And reaffirming our guidance for EBITDA growth in the range of between 10% and 15% excluding the impact of currency. We remained confident in our strategy and our relentless drive to execute with excellence. So with that, let me turn the call over to David Berger who will summarize our financial results.
David Berger: Thanks, Mike, and good morning everyone. First quarter revenues were $49.9 million were flat on a constant currency basis and down 1% on a reported basis from $50.5 million in the first quarter of 2015. Currency negatively impacted reported revenues by $800,000 versus the prior year. Revenues were $25.9 million in the Americas, down 6% from the same period in 2015; $19 million in Europe, up 7%; and $5 million in Asia Pacific, up 12%, with growth rates in constant currency. First quarter 2016 adjusted EBITDA was $3.3 million compared with $4.6 million in last year’s first quarter. This year’s first quarter was negatively impacted by $400,000 deal, associated with the stock tender and the previously discussed increased in costs associated with building new revenue streams. We reported operating income of $100,000 for the first quarter of 2016, this compares with operating income of $2 million in the first quarter of 2015. The net loss in the first quarter was $700,000 compares with net income of $900,000 in the first quarter of 2015. Including in the first quarter of 2016 net loss were the $500,000 foreign currency transaction loss versus a $400,000 transaction gain in the prior year. The 2016 first quarter loss resulting from a hedging and majority of our projected Euro EBITDA translation exposure versus the U.S. dollar. Reported fully diluted loss per share was negative $0.02 per share compared with income of $0.02 per share for the same period in 2015. Adjusted net income for the first quarter was $1.3 million or $0.04 per share on a diluted basis compared with adjusted net income of $2 million or $0.05 per share as diluted basis in the prior year’s first quarter. Utilization for the quarter was 68% versus 72% in the prior year. Headcount of 1,044 was up 60 positions from December including 17 associated with the expertise acquisition in Q1. We continue to maintain a strong liquidity position to support the implementation of our business plan. We had an excellent cash quarter, reversing prior first quarter trends. Net cash provided by operations for the quarter was $2.3 million which was $4.5 million favorable to the prior year. We invested $583,000 in capital during the quarter. During the first quarter, we repaid $562,000 of debt and repurchase $945,000 of stock. And this might note earlier, we were pleased to announce today that we repaid $3.2 million of our convertible loan note outstanding at PAR. This will reduce our fully diluted shares outstanding by 800,000 shares. No gain or loss will be recorded as a result of this transaction. This transaction was funded by drawing on the company’s revolving credit facility with no change in our total debt balance. Today outstanding debt at March 31 was $49.5 million, our gross debt to adjusted EBITDA leverage rate was 2.4 times and our net debt leverage ratio was 1.5 times at March 31, 2016. Our average borrowing rate for the quarter was only 2.4%. In April we had $10 million to fund the Dutch tender. ISG acquired the assets of TracePoint for initial consideration of $1.4 million at closing net of cash on hand. Over the next three years, based on achieving certain financial objectives, the total consideration to be up to $7 million. Mike will now share concluding remarks before we go to Q&A.
Michael Connors: Thank you, David. In conclusion, we approached this quarter differently than we have in previous first quarters. Hiring ahead of revenue to address what we see as the emerging and immediate growth opportunities. We invested in resources to accelerate the growth of our research business, expand our digital advisory services and higher education businesses and to launch ISG events. For the immediate benefit of our shareholders, in the last couple of months we have brought back 8% of our fully diluted shares outstanding through the Dutch auction and our convertible long note redemption. We completed the acquisition of TracePoint to take advantage of an organizational change management market, we see growing dramatically with digital transformation and the continued rapid change in technologies. And in light of all of these positive developments in our business, we raised our full year revenue guidance, growth guidance and reaffirmed our EBITDA growth for the year. We are pleased with our operating trends and the momentum we are seeing building in the market, as well as the favorable reaction we had to our successful stock tender offer. Taking together, they demonstrate the confidence we have in our ability to strategically deliver value to our clients and to our shareholders. Thanks very much for calling in this morning, and now let me turn the session over to the operator.
Operator: Thank you. [Operator Instructions] And we’ll take our first question from Vincent Colicchio with Barrington Research.
Vincent Colicchio: Good morning, Mike. I was just wondering in the Americas if you can give us a little more color over what caused the slippage, and I apologize if you mentioned, I got on a little bit late in the call.
Michael Connors: Yeah, no problem. Look, the Americas had 4% sequential growth, very difficult comps in the first half of the Americas, you may recall last year the Americas were on fire during the first quarter, they grew by 14% and so the comps are going to be a little tougher. We are not at all concerned about the Americas, the pipeline is extremely robust and we expect them to deliver good growth for us for the full year. The only other thing that happened in the quarter there in the Americas is we didn’t get a tail off in a couple of public sector multiyear contracts that we’ve had in one of the State of Arizona, another at a major city that kind of tailed off during the first quarter but that pipeline is build up and we see significant growth going especially in the back half on the public sector including I announced the West Virginia win, we also announced the Arkansas win, we should have another announcement with another major university during Q2. So, overall from the Americas standpoint we feel good about the full year on how they’ll perform.
Vincent Colicchio: And how do recurring revenue perform in the quarter, and what are your thoughts going forward?
Michael Connors: The recurring revenue was flat during the first quarter and we see recurring revenue starting to build in the second half of the year.
Vincent Colicchio: Okay. And then Mike, I was wondering on some of your certainly investments you’ve made in the SIAM business and the engineering outsourcing, how are those two shaping up for the year?
Michael Connors: Yeah, good question. So first on engineering we had a very strong first quarter, we won a number of assignments with companies like Geometric which is an engineering services firm based out of India and Amdocs, Symbian, HCL, L&T and some others during the quarter. So, our engineering services I think is performing well, it’s still emerging, it’s still very much like our managed services where we are educating the enterprise clients. All of the service provider community are well on board. They see the engineering services over the next two, three, four years as one of or if not, the largest growth area for them and we planned to be the leader in that space. So we’re getting some good traction, we feel good about engineering services is evolving. On SIAM which is the Service Integration and Management continues to be very strong and the TracePoint acquisition will be a terrific rapper around our services in this space, and just to take a moment on this. Our clients look with these multi suppliers that they have and were renegotiating with the number of enterprise clients so that they can get the best in breed and get expertise and as they look to move out of some of their longer term infrastructure and moving things to the cloud there will be more and more suppliers in the market and inside enterprises. That allows us to use our service integration and management to help and pile those together. But while doing so, there is enormous change that is occurring as a result of that. So adding this 25 plus people that are experts on OCM, Organizational Change Management, we will also be assisting all of our work around SIAM and our digital services using the IT and capabilities of TracePoint to really help expand our businesses there. So that is still a very hot business, change is incurring very rapidly and we see the OCM business that’s helping us not only what they’ve been doing on their own but also helping our overall ISG business as we integrate them in.
Vincent Colicchio: Actually on the headwinds, a friend of mine in the markets now doesn’t seem to – the economic backdrop doesn’t seem to help your pipeline. Any thoughts on that?
Michael Connors: Yeah, look I think right now we have a pretty – we think we’ve a pretty good product and service capability. If you think about Europe for example where they’re all struggling company wise to grow the top line so they look to the bottom line to generate some funds to move in the growth initiatives, used to be a few years ago they would take all of that drop at the earnings per share if you just take the cost out. Now they want to take the cost out of IT moving into growth initiatives like digital, mobility and so on. So, I think it plays to our strength, we’re certainly continuing to be cautious of all that. We’re cautious of the [indiscernible] vote in June, not that we think would have any direct impact but what it might do to decision making in the market place, so we’re cautious on that. But having said all that and factored all of that in, we believe that we’re going to have a very strong year in 2016.
Vincent Colicchio: Okay, I’ll go back to the queue. Thank you.
Michael Connors: Thank you, Vince.
Operator: And we’ll take our next question from Marco Rodriguez with Stonegate Capital Markets.
Marco Rodriguez: Good morning, guys, thank you for taking my questions.
Michael Connors: Good morning, Marco.
Marco Rodriguez: Morning. Hey, just a couple real quick housekeeping items before I have few of additional questions. On the investments that you guys made ahead of revenues, if I’m doing my math correctly and also including the costs of the tender offer, it sounded like about $2.2 million or so roughly in additional cost in the quarter, is that correct?
Michael Connors: It just a little – it’s under, it’s between kind of $1.4 million and $2 million, Marco.
Marco Rodriguez: Okay, got you. And the additional investments that you made ahead of revenues, if you can maybe just kind of walk us through the process that you guys took, what you were looking at, what kind of made you pull the trigger if you will, ahead of everything. And also just to confirm, I know I’m sorry there is a lot of questions here that additional investment, is that all inside of your direct cost and expenses?
Michael Connors: The answer to your last question is yes on where the costs are, and why we decided, as you know I think I mentioned, we’ve not done this in five years. Here is what our thinking was, we see an expanding market for our services, digital services in particular. There is a lot of work around digital trans – we’ll be called digital enablement and digital leverage. Digital enablement in companies are things like just their digital transformation, their security, their automation, the cloud adoption level which is increasing rapidly. And the digital leverage if you will is around the marketing side, the CMO or HR Technology which is also very, very red hot in area that we are moving in and gaining at a very significant leadership position. And so our sense was number one, we see a lot of movement on the – just the whole digital and cloud transformation moving at a little faster speed, so that was one. Two, we saw opening in the higher education area with our public sector strength that we had that we wanted to expand and move rapidly and we’ve added to the team there including bringing in an expert from the outside to lead that effort of partner. And as I’ve said, we’ve had a significant win already at the end of the quarter and we have one tied up we believe that will close in Q2. We also believe on the ISG events area this is where in the past we’ve done some conferences etcetera. It’s been more about brand building and breakeven, we’re going to make this into a business, a P&L business, we brought in a leader from the outside that launched Gartner’s events businesses back in the day when they were nothing. She grew that business up to about a $100 million and $150 million before leader Gartner, so we brought her into help to lead our ISG events business. And then the research arena, the content that we had as a result of the [indiscernible] Technology acquisition last year, we see a pent-up demand for more and more content from ISG. So we decided to add a bunch of new people into the research organization during the first quarter that will pay off over the next couple of years, keep in mind that that revenue unlike the kind of consulting revenue, we take on a 1.12 basis once we’ve signed them off. So the revenue flow usually lag the sales efforts on the subscription base business but it’s very stick at a 90% plus retention rate for us. So when we combined all of those as we looked at going into the year, our sense was then let’s jump on it, let’s give us an opportunity for the three quarters of this year and into 2017 if we invest at the frontend here we may be able to accelerate our top line growth in the next 24 months. So that was the thought process, Marco that we went through.
Marco Rodriguez: Got you, very helpful, thanks. And in regard to the acquisition here of TracePoint, just want to get a little bit better of a sense as far as their kind of financial picture if you will, I think I heard you guys mentioned that you’re expecting about $3 million in revenue in fiscal 2016 from TracePoint and I think you said an additional, maybe $6 million plus in 2017. Are there revenues primarily or predominately in the Americas and what is their margin profile look like?
Michael Connors: So yeah, first of all on the revenue stream those are the numbers that we’ve indicated for them. And it is primarily in the U.S. business but our intension here is to take their IP, their capability and their knowledge base and expand this globally as we move into 2017 which is why I said $6 million plus. We think this whole OCM business can be quite large, quite lucrative. I think we’re going to use 2016 to kind of tie up and [indiscernible] out their back office if you will and moving into our one platform services and that will enable us to get into a business that we think will have at or greater than our firm wide EBITDA margin. So we’re very, very bullish on this space, TracePoint is a fantastic company, great reputation, as Randy Geoghagan who has led it and the founder as we take him on our journey to help lead us in our broader OCM business. So that’s how we look at the financials there.
Marco Rodriguez: Got you. And how many billable people do you have?
Michael Connors: We’re bringing across 25 or so.
Marco Rodriguez: Got you. Great, thanks a lot guys. I’ll jump back in the queue.
Michael Connors: Thanks, Marco.
Operator: And we’ll take our next question from Mark Jordan with Noble Financial.
Mark Jordan: Thank you. Question relative to TracePoint and the overall OCM business, two questions there. One, what assets are you planning to put from the current company into TracePoint to consolidate the OMG activities? And secondly, what have you done to retain and motivate the current employee base that you’ve acquired?
Michael Connors: Okay, good. Thanks for the questions. First of all they have greater IP and they have great qualifications. They’ve been at this now since 2009 for the kind of coming out of the recession, last few years they’ve picked up [indiscernible] they have partners in SAP and Infor as an examples that utilize their change management capabilities when there are large installations at both Infor software as well as SAP to name two. But our intension here is that we will take what we have in OCM capabilities, what Randy and his team have, and as we emerge into 2017 we will have all of that capability together in the U.S. and begin to expand it in the outside the U.S. markets. The way we are setting the team is how we’ve done all of our acquisitions in the past and as we have an earnout on certain financial targets for Randy and his team to meet and we fully expect that we will be able to retain Randy and his entire team for not only the duration which is three years with the earnout but beyond as we have done with all of our other acquisition. So we feel like we’ve got in a good position. They’ve got great capability, we will pace them this year just as we’ve done other acquisitions to ensure that it stabilized and we continue to deliver on what we’ve committed to work for the balance of this year and then we will expand at the pace that we can expand that as we’ve done in past acquisitions as well, but that’s the plan, Mark.
Mark Jordan: Okay. The second question, you mentioned you’re launching ISG events, could you talk about what your strategy is there, what are you trying to provide incrementally? And then secondly, what are the goals or benchmarks that we should look for to see that that is gaining traction?
Michael Connors: So few things here, one is the events business can be very lucrative on an EBITDA margin standpoint if you get enough scale. Our sense is that if we can drive this to essentially from nothing to about a $5 million business over the next few years, but that should generate a very high EBITDA margins higher than anything we have in the firm, probably matching kind of a research margins are greater. That means you’re going to have EBITDA margins well over 30% in that business, maybe even 40%. So our own internal tracking of this business will be as we would like to drive it at first stage let’s get it to $5 million and that will require a couple of years to get there and we believe we can generate 30% to 40% EBITDA margins in so doing. So now there will be a revenue contributing, it’ll be a disproportion at profit contributor and it will allow us to stay engage and keep our brand out of the market place so we can kill a couple of birds if you will with one sound, so that’s the idea we have behind it. It will take a little while, events usually take about a year to get schedule in advance, we’re going to launch a couple of new ones this year and we’ll be looking to do a much more expensive effort, sorry in 2017 and we hope that will deliver fruits in 2017 and 2018 as our plan.
Mark Jordan: Okay. And in terms of what investment would that reflect in this year in terms of cost?
Michael Connors: We’ve already added that in into the first quarter cost, so we did not think that there will be any other cost that would – that would not be offset by revenue other than what we installed is part of that – as I said in the first quarter, we added about a $1.5 million to $2 million of cost that included the Dutch auction and events was part of that. We do not anticipate adding any other cost that would not be offset by revenue.
Mark Jordan: Okay. Final question from me that the increased revenue range for this year, you obviously had TracePoint which is adding $3 million but given the size of the increase versus prior guidance in the areas embedded in that increase higher organic assumptions, is that correct?
Michael Connors: Yes, I mean if you think about coming off kind of the first quarter which was essentially flat that should give you kind of a flavor as to what we believe at this stage that the robustness can deliver for the balance of this year and as we move into 2017.
Mark Jordan: Okay, thank you very much.
Michael Connors: Thanks, Mark.
Operator: And we’ll take our next question from Sarkis Sherbetchyan with B. Riley & Company.
Sarkis Sherbetchyan: Yeah, good morning. Most of my questions have been answered, but just real quick, do you mind disclosing what the managed services in research revenues were for Q1?
Michael Connors: As you know, we grouped managed services research and U.S. public sector together, the combined that was $14 million.
Sarkis Sherbetchyan: $14 million, got it. And then with respect to just the pipeline, you mentioned in the Americas it’s been building, can you maybe just talk about any potential delays you’re seeing or if you’re seeing the lengthening of the pipe as far as the delivery is concerned?
Michael Connors: Well no, I mean I think the pipeline is growing and I don’t see any softness in decision making. We will watch it carefully with the elections and with Brexit but we don’t see it at this stage. So that’s why we raised our overall guidance instead of leaving it alone.
Sarkis Sherbetchyan: Got it. And then the 40 positions you got it during the quarter, I mean that’s pretty material. Any kind of notion here that as far as getting the revenues against that 40 position, would that be something here in the near term immediately or is that something that you expect in the next six months or so?
Michael Connors: Yeah, our hope and desire is, is that those will begin to produce starting in Q2, probably back half of Q2 throughout this year and into 2017. So that’s why we decided to make the investments because we saw some immediate kind of revenue opportunities ahead of us.
Sarkis Sherbetchyan: Good. That’s all from me.
Michael Connors: Thank you.
Operator: [Operator Instructions] We’ll go next to Brian Kinstlinger with Maxim Group.
Josh Seide: This is actually Josh Seide for Brian. Thanks for taking the questions.
Michael Connors: Yeah, good morning.
Josh Seide: Good morning. So, despite the acquisition your EBITDA guidance stayed the same, is that – so can you give us a sense of this trace is profitable and if so, what the EBITDA margins are? And then how should we think about the profitability of the core business?
Michael Connors: So, first of all on TracePoint it is profitable but it will deliver kind of the minimize profitability for us this year because we are investing there, so don’t look for anything that - any material out of TracePoint in 2016. Moving forward though, we expect TracePoint to be at or above our firm wide margins after our investments this year. And what was the back part of your question Josh?
Josh Seide: Just hoping to get a sense of how we think about the profitability of the core business and what is the fact that EBITDA guidance was reaffirmed while the topline guidance was raised?
Michael Connors: Yeah, well look, we have a pretty good range on the EBITDA guidance already 10% to 15% so we thought that was sufficient for our guidance for the year. They won’t allow answer that one Josh.
Josh Seide: Sure, that’s helpful. Thanks. And then with limited top line growth in the first quarter in the constant currency basis, can you give us a sense of what gives you confidence in the growth and the second half will be what seems to be double digit which seems to be needed, excuse me, in order to achieve the full year guidance?
Michael Connors: Well, yeah I mean…
Josh Seide: And maybe…
Michael Connors: Yeah.
Josh Seide: I’m sorry, go ahead.
Michael Connors: Yeah, go ahead. Well, I think the reason we did it is because we think that by hiring ahead of the curve here a little bit we’re going to take advantage a lot of these digital services, the SIAM business, our research revenue will be accelerated. Again, keep in mind there that sales will be faster than the revenue because we do 1.12 of course, on subscription based revenue, higher education business, by expanding that we think we can gain more new clients and we’ve already named one and I think we’ll have more. So our sense overall is that that revenue pipe – base on the pipeline that we have in all the regions including the Americas should allow us to accelerate our growth during the course of the year to achieve the 7% to 9% full year basis.
Josh Seide: That’s helpful. Thank you.
Michael Connors: Yeah, thank you.
Operator: And we’ll take our next question from Matthew Brooks with Macquarie.
Matthew Brooks: Good morning, guys. I was wondering if you can…
Michael Connors: Good morning, Matthew.
Matthew Brooks: A few comments about the acquisition market as you’re seeing it, so can you say a little bit about how the TracePoint deal came about, whether there was any bidders and more in general like how are expectations of vendors and how does your pipeline look for more of these Bolton over the next say 12 to 24 months?
Michael Connors: Yeah. So, TracePoint, we started discussions with them last year. We initiated some discussions with them, we have targeted the OCM area as an area of possibility of expanding our capabilities, so we came up with kind of our heat map of potential targets. We really liked Randy and his team that we met, we like what they had been able – they had been able to work on. We actually had TracePoint included in one or two of our public sector deals recently so we could see them in action, and so we felt like this was the best available asset on the market that would enable us to kind of turbo charge the OCM business that we think is pickup real steam in the market because of all the changes in technology. As it relates to kind of the market overall, our view is that we are an attractive partner for these Bolton acquisitions because we give scale, size and we give if you will, an entry into nearly 500 large companies globally every year as another channel to be able to take the capabilities of companies like TracePoint and be able to broaden out their client base as a result of that. So, our sense is that the M&A market for companies that we are looking for in targeting which are things such as expanding our capabilities, expanding our recurring revenue streams is pretty robust for us and we continue to be in the market and looking at such deals.
Matthew Brooks: With the earnout for TracePoint, does it depend only on the U.S. results or did they also get an announced contribution if you do well globally?
Michael Connors: I’m sorry, say that again?
Matthew Brooks: Do you know that you’re going to give the TracePoint, does that only depend on the earnings generated in the U.S. or do they also get a kind of the earnings you generate by leveraging their product globally?
Michael Connors: They will have the earnout based on wherever they sell it, so it can’t be globally.
Matthew Brooks: Right, thank you for your time guys.
Michael Connors: Thank you, Matthew.
Operator: And gentlemen, we have no further questions. I’ll turn the call back to you for any additional or closing remarks.
Michael Connors: Okay. Well thank you very much. Let me just close by saying thank you to our more than a 1,000 professionals around the world including those who had recently joined us from experts and TracePoint for their passion and dedication to clients. It’s the ability to help our clients I think achieve operational excellence and navigate through the digital transformation I think is the reason for our optimism regarding our business. And thanks to all of you on the call today for your continued support and confidence on our firm. We look forward to having a very strong 2016. Have a great day.
Operator: Thank you. And that does conclude today’s conference. Thank you for your participation.